Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Q3 2019 Bonanza Creek Energy Inc. Earnings Conference Call. At this time all participant lines are in a listen only mode. [Operator Instructions] Please be advised that today's conference is being recorded [Operator Instructions]. I would now like to hand the conference over to your speaker today Mr. Scott Landreth, Senior Director of Finance and Investor Relations. Thank you. Please go ahead, sir.
Scott Landreth: Thanks, Jimmy. Good morning, everyone. And welcome to Bonanza Creek third quarter 2019 earnings conference call and webcast. On the call this morning I am joined by Eric Greager, President and Chief Executive Officer, Brant DeMuth Executive Vice President and Chief Financial Officer and Dean Tinsley Senior Vice President of Operations and Engineering. Yesterday, we issued our earnings press release, posted a new investor presentation and filed our 10-Q with the SEC, all of which can be accessed on the Investor Relations section of our website. Some of the slides in the November investor presentation will be referenced during our prepared remarks this morning. Please be aware that our remarks will include forward looking statements that are subject to many risks and uncertainties that could cause actual results to differ materially, you should read our full disclosures regarding forward looking statements contain in our 10-Q, 10-K, and other SEC filings. Also, during this call, we will refer to certain non-GAAP financial measures because we believe they are good metrics to use and evaluating performance. Reconciliations of these measures to the most directly comparable GAAP measures are contained in our earnings release and investor presentation. We will start the call with prepared remarks and then move to Q&A. Now it is my pleasure to introduce Eric Greager, President and CEO. Eric?
Eric Greager: Thanks Scott. Good morning, everyone. And thank you for joining us for our third quarter earnings call. We will keep our prepared remarks brief in order to leave plenty of time for Q&A. Our third quarter results were in line with the expectations we communicated on our call last quarter. As was expected, and due largely to the timing of wells turned to sales from our one-week program third quarter production of 24.3 Mboe per day was essentially flat with the second quarter. Our average production through nine months was 23.2 Mboe per day, which is up over 50% compared to average Wattenberg production through Q3 of 2018. This performance year to date has resulted in us raising our annual production guidance twice, once after 2Q earnings and once again with our release yesterday. Our current annual production guidance is a range of 23 to 24 Mboe per day, up from 20 to 24 Mboe per day to begin the year. Our oil mix for the quarter of 57% was in line with our expectations. Going forward, we expect quarterly oil cuts to fluctuate in the high 50% to low 60% range, which will be highly correlated to wells that have been turned to sales in recent quarters and higher oil cut associated with new production. CapEx for the quarter was $46 million, bringing the total through nine months to $173 million. We're on pace to deliver the activity levels contemplated in the 2019 budget. But we are lowering our full year CapEx guidance to a range of $230 to $240 million from $230 to $255 million previously. We've also tightened LOE and cash G&A guidance throughout the year. Our cash costs for the quarter and through nine months of the year fall within our annual guidance ranges. Cash G&A for the quarter of $3.53 per Boe was down 2% from the second quarter, while LOE of $3 per Boe he was up slightly from second quarter as a result of some non-recurring expenses during Q3. We've lowered the upper end of both our LOE and cash G&A ranges as a result of performance year-to-date. Our current full year 2019 guidance ranges can be found in our earnings release issued yesterday, or on slide 16 of our Investor Relations presentation. We've updated the production plots in the IR deck we posted yesterday for Eastern Pronghorn B28 pad and Northern Whitetail well. We continue to be encouraged by these results and the potential to unlock unrealized value in our eastern and northern acreage. We also updated the production for the I21 pad and consolidated the five individual curves into a pad average to be consistent with all the other curves shown on slide 10. We continue to be encouraged that the results at 16 wells per section are exceeding our legacy West type curve. As we mentioned on the last quarterly call, our new oil gathering pipeline commenced operations in late July. The investment in this new RMI asset has returned immediate results. As a result of the lines, we removed over 40 truckloads per day, representing over 1200 truck miles per day at current volumes. This reduction in truck traffic continues to improve over the next several quarters. Volumes moving through the line received an improved oil differential of $1.25 to $1.50 per barrel. Shipped volumes increased to the third quarter and will continue to build throughout the fourth quarter. Our oil differential of $4.98 per barrel was down from $5.90 per barrel in the second quarter. A portion of this change relates to the lower benchmark price during Q3, but the oil line also had a positive impact. Our oil differential through nine months is $5.40 per barrel and we are reiterating our full year guidance range of $4.25 to $5.25 per barrel at current oil prices. Finally, I wanted to comment on our business plan for 2020. It's early in our budgeting process, but we expect to deliver moderated production growth in 2020. With a lower year-over-year capital program that will include some capital for our French Lake asset. We're encouraged that we generated approximately $50 million of EBITDA during the third quarter, with CapEx of $46 million for the quarter. We're close to free cash flow neutrality on our operating one rig program and will work to deliver a 2020 plan that builds on this momentum. With that, I will turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator instructions] Our first question comes from Irene Haas with imperial capital. Your line is now open.
Irene Haas: Yes. Hi. My question for you is the French Lake in light of the reason reorganization that happened with OXY is taking over in the dark hole sort of any, color on when the project would start and roughly when you should expect spending money and roughly how much and when should we expect a production impact? Thank you.
Eric Greager: Yes, thanks, Irene. We're thinking right now based on our best intelligence from the OXY organization that will be picking up a rig, it'll be 5050 operated rig operated by OXY 50% net CapEx from Bonanza Creek starting in late Q3, so I think kind of mid to late September and that rig would start, it's one rig level loaded operation moving continuously throughout the balance of the subsequent years. That's the current best intelligence we've got. So, what that means is, we would have half a rig for one quarter at the tail end of 2020. And you could anticipate because these are big pads, we'll be drilling 8 wells east and 8 wells west of what might be a single pad and these XRLs, it's going to take probably 4 or 5 months to release off the first pad and another month or so to begin stimulation. So, it's going to be well into 2021 before the first well as IP.
Irene Haas: Thank you.
Eric Greager: Thank you, Irene.
Operator: Thank you. [Operator instructions] Our next question comes from wells Welles Fitzpatrick with SunTrust. Your line is now open.
Welles Fitzpatrick: Hey, good morning.
Eric Greager: Good morning Welles.
Welles Fitzpatrick: Whitetail A4 continues to fit that 830 curves? Can you talk to how you guys are thinking about that, that area now internally and how much capital you might be willing to push up there in 2020?
Eric Greager: Yes, thanks. Welles. We are encouraged by the Whitetail A4 and we think it continues to de-risk the reservoir in that area. So, the way we're thinking about it is our 2020 budget is going to take a shape around working to achieve best we can with the challenging price environment, free cash flow neutrality. So that is sort of the focus and the objective is working toward that. The Whitetail A4 is a great performing well, particularly considering the reservoir performance in that area was expected to be challenging. So, we're very encouraged by it, but it's probably given the fact that we don't have a lot of infrastructure up there. The best we could we could do in the 2020 budget would be to continue delineating perhaps with one well, a couple miles away from the current Whitetail. What we'd be thinking there is - it's going to be challenging for a single well to compete with the kind of economies we can put together on larger pads, and particularly in a place where we don't have a lot of infrastructure, existing infrastructure to leverage. And so, the best we could do in the challenging price environment we expect to see in 2020 is perhaps one delineation well. And that's likely to be closer to the end of the year, perhaps in the back half. And so that's the way we're thinking about it at this point.
Welles Fitzpatrick: Okay. And you said you push it. Would you want to - if you were to drill one, would you want to be pushing it East or North. I mean, which do you think would be sort of most informative?
Eric Greager: Yeah, I think we'd probably want to push it north. And it might even be north and west. And the reason for that is because, we've got good acreage ownership, to the north and west. And we can easily connect to rights away that get us back to the Whitetail. Again, its ease of infrastructure builds out, and really lowering the burdens on that single delineation well. So, learn as much as you can, delineate as much as you can, but don't create an unnecessary burden on the well or in the 2020 budget.
Welles Fitzpatrick: Okay. And then, you guys obviously - you have more midstream control than most. But can you talk to more recent NGL pricing in the basin. To my understanding fracs and white cliffs are taking land filled now. Has that moved up the price of the heavy if at all?
Eric Greager: It hasn't really impacted the realized pricing for us at least at this juncture. We're certainly encouraged that more inch miles a pipe are going to improve access. Most of us in DJ are exposed to Conway. And the Conway pricing is - realized pricing has just been terrible. And I think there is some hope that that can continue to get better. I don't know that it's going to be this quarter, but I think it's going to be perhaps in the early in 2020 as we continue to see capacity open.
Welles Fitzpatrick: Okay, wonderful. That's all I have. Thanks again.
Eric Greager: Excellent, thanks.
Operator: Thank you. Our next question comes from Ray Deacon [ph] with PetroLotus. Your line is now open.
Unidentified Analyst: Hey, good morning. Following on the last question about NGLs, would you think that the current level would be a conservative place to be for 2020 in terms of realizations, or it sounds like you're hoping things improved.
Eric Greager: I do think it's a conservative place to start. And I would anticipate that, NGLs will continue to improve as particularly, the propane element of the NGLs in this part of the country is weather sensitive and we're moving into the colder season. So, I think you'll see the propane elements continue to improve in terms of realized pricing. And as the last conversation pointed out, we do see just a little bit more fractionating capacity coming on at the end of the NGL pipelines as well as more capacity. And we think that will help exposure to perhaps to Mt. Belvieu which is which is the ultimate goal. But the access will improve the pricing regardless. So, I do think it's a conservative place to start, Ray. Thank you.
Unidentified Analyst: Sure. And just one follow-up, in terms of the mix of XRLs versus SRLs, it seems like a fairly big shift next year, I guess does that what's the reasoning there? And I assume it helps your cycle times in terms of getting well as tight on quicker, I guess?
Eric Greager: Well, the mix of SRLs and XRL will be is very much a function of the shape of the acreage of the DSUs and that's which ones come on throughout a various budget year raise more dependent on our maximizing both our surface efficiencies and our subsurface efficiencies. So, I wish we had just a wide-open whiteboard where we could just take advantage of any piece of acreage we wanted to. But the truth is, we've got varying working interest and we've got varying shapes to DSUs. And we also are very careful about minimizing frack impacts in the subsurface and so it's constrains the number of options. We’ve gotten - so the mix is governed by maximizing the profitability of the budget year, so we try to develop in areas where we have the highest total return at the pad level, whether that’s an XRL or an SRL. So, it’s going to continue to be dependent on a number of factors including both surface and sub-surface efficiencies.
Brant DeMuth: And to be clear Ray, we’re still in the budgeting process. So, we have not guided the mix of those different links yet.
Unidentified Analyst: Got it, got it, great. Yeah and just one more Brant, did you, one of your peers had better RBL reduced or directed to lower level on a call yesterday I was just curious, have you where do you gone through that process?
Brant DeMuth: No, I appreciate the question because it’s a good one. We’re right in the middle of working with our syndicates that we have our meetings next week. So, very early indication is, I think we’ll be fine but it’s probably too early to give you a definitive reaffirmation. But I think with the reserve growth and the production growth over the last several quarters, I think we’re in a very good shape.
Eric Greager: Yeah fundamentally well and cash cost have been reducing overtime, well performance has been improving overtime, reserve growth has been consistent quarter-over-quarter, yeah and our utilization rate of the RBL is pretty low. In fact, we’ll draw and repay periodically through the quarter, throughout the year, so we really do use it like working capital. So, I think all of those things will move point to a pretty healthy redetermination but again, as Brant pointed out, it’s early.
Unidentified Analyst: Okay, got it. Thanks very much.
Operator: Thank you. And our next question comes from Noah Parks with Corcoran & Palmer [ph]. Your line is now open.
Unidentified Analyst: Good morning. Just a couple things, one of them had to ask about consolidation in the basin and I was wondering if you've seen among the feedback folks out there. Any more kind of coming down to us as far as their bid expectations on transacting their assets?
Eric Greager: Yeah, thank you. That’s a great question. I’ll tell you what we have a word is that over the last couple of quarters, rather than testing the market through kind of a broad process that involves a big VDR and inviting everyone to come take a look and make a bid, while we’ve seen is an evolution toward targeted kind of rifle shot strategic conversations. And we’re happy to participate in those. The challenge really is as you know, our upside, our thousand gross well SRL inventory doesn’t bring a whole lot of share value or component to our share price today. RMI really doesn’t provide us much value in our share price. What really does in our share price is our PDP and so, if we look at or we imply our valuation on a potential target, we’d imply we could pay a fair price for PDP. And most of these PD backed firms are really relied on PDP and they can’t possibly afford to sell at that price. But there continues to be interest in the idea that that PDP for PDP is beginning to make a lot more sense, as the script remains constrain and access to capital gets tougher and tougher. So, I don’t know that they’re currently at the point, just generally speaking across the companies that I speak with, I don’t know that they’re currently at a price that makes our bid make sense to them, but I think it’s certainly moving in the right direction. I think there’s plenty of therapy to continue to migrate in that direction.
Unidentified Analyst: Great, thanks. And one other thing, since it’s been so tough for the service guys that we are really not hearing anybody worried about any sort of cost inflation over say the medium term, do you see any scenario where I mean, I assume I can think of our withdrawing equipment from the basin or just getting rid of older equipment. Do you see a scenario that could give you any cost inflation in 2020 or maybe beyond that?
Eric Greager: No, no, we've seen no scenario in fact throughout the course of 2019, we've seen factory input costs to our D&C operation consistently declining. And we've been able to take advantage of that to further optimize or stimulation designs and really maximize PV and IRR based on those factor cost improvements. We've seen that happen throughout 2019 and as we kind of stress test, through RFPs and test the market into 2020, we see continued improvement. And so, throughout 2019, we've seen about a 10% reduction in factor cost inputs to our D&C operation. We've been able to take advantage of that. And even beyond that relative to current pricing, our current RFPs are pointing to nominally 15% to 20% reductions in the 2020. We don't see a scenario where, for example, a major supplier of frac horsepower withdraws capacity out of DJ, although I've read a lot about it. I don't read about it happening or have any sense that it's taking place to DJ. And I think - because the market is really pretty well-balanced today, and DJ has been under pressure because of the political environment for a couple of years. And so we've had time to sort of get right with the activity level as a - as an operator and supplier environment, whereas some of the other basins that were a lot more active up until the recent couple of quarters, have really had a high rate of change. And so, I think they're much more, sensitive to the oversupply and capacity.
Unidentified Analyst: Got you. And I mean, have you seen things like people looking at closing or combining service centers just to kind of help with their overhead in the area?
Eric Greager: I certainly anticipate that there will continue to be rationalization of costs on the service side and efforts made at every level to reduce the overhead and some of the burdens on the business because their margins are tight. And that's a difficult place for them to be in and we as an operator community, all of us continue to put downward pressure through a competitive tension and round after round of RFP is.
Unidentified Analyst: Great. And just one last thing, a bigger picture, just like a flat split them out of pretty constrained praise and range on to do wonders for deal making. Is it fair to say that, if we are looking at a fairly long-term $50 to $55 price, but that's not a really a bad long-term operating environment? For you guys, assuming we can continue with the same server efficiency, is that the manifested so far?
Eric Greager: Yes, I think we've got adequate high-quality inventory. And that inventory is effective at this price environment. We also have good liquidity. And as I mentioned earlier in the remarks, we're certainly flirting with today and working hard to continue to be a self-funded operation. And that would imply that, if we're not drawing on the RBL, and we're not increasing our net debt, at these price points. We can whether time and we can weather this price environment perhaps longer than others can. And that should create some opportunities for us. We're certainly focused on a discipline capital program. We're going to continue to be focused on lowering our cash costs overtime and really working to rationalize anything that doesn't really improve our business and the profitability of our business. But we also recognize that, there are a lot of benefits to scale. And so, when we think of scale, we think of cash flow. And so that's the way we look at consolidation from our perspective. But today, we remain patient, because we think this is an opportunity where patients will continue to benefit us in terms of the number of opportunities that we get a chance to look at.
Unidentified Analyst: Great. That's all for me. Thanks.
Eric Greager: Thank you, Noah [ph].
Operator: Thank you. And we have a follow up from Welles Fitzpatrick from SunTrust. Your line is now open.
Welles Fitzpatrick: Thanks for letting me hop back on. I just had a real quick one. Just to kind of sanity check my reading of the COGCC, new mission change Whitetail, it didn't seem to me that anything was terribly new or onerous in there. Is that, I know you guys are close to it. Can you talk to your interpretation of that document?
Eric Greager: I feel exactly the same way. Well, I think it was a reaffirmation of Centerville, 1991 and I think the point really was to continue to reinforce the mission of the COGCC. So I don't think the Whitetail was meant to announce any incremental changes or new emphasis, I think it was really to reaffirm 19181 and to ensure that has as the operator and an environmental community is continue to talk about how we, how we provide energy for people in a state like Colorado? How do we balance that and what is the legal mission of the COGCC? I see it as a reaffirmation of that. And frankly, I think it's good. The whole conversation today really related to CDPHG and COGCC is a lot isn't a lot healthier place, and it was a year ago. And I think, several people can disagree on points, but I think everyone recognizes that the middle of the fairway has gotten wider. And, if you've got an opportunity to do good work, and be sensitive to the stakeholders needs, I think you can continue to do good work and provide, good jobs in a state like Colorado and I think we saw that during the press conferences at this the CDPHG and COGCC press conferences during the Health Study rollout, I think there was a balanced view as to what that study did and did not accomplish. And it to me, it was, frankly, a healthy indication of the balance that regulatory bodies are taking when it comes to evaluating the impact of oil and gas development.
Welles Fitzpatrick: Yes, no, that's great. And I agree when you pull us and even Becker, kind of lined up the same way with to have a quick response to that, that study it, it points to the statement in a much better place. Anyways, thanks for let me hop back on.
Eric Greager: Thank you, Welles,
Operator: Thank you. And I'm showing no further questions in the queue at this time. So, I'd like to turn the call back to Eric Greager, President and CEO for any closing remarks.
Eric Greager: Thank you. Thanks for your interest everyone. As a reminder, we're going to go into be attending the Kaplan Energy Conference in Houston on December 10th through 12. Well, we hope to see some of you there. And with that will end the call. Thank you so much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.